Operator: Good day, ladies and gentlemen, and welcome to the Novavax Fourth Quarter and Full Year 2014 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today's call, John Herrmann, General Counsel. Sir, you may now begin.
John A. Herrmann: Thank you. Good afternoon, everyone. This is John Herrmann, General Counsel of Novavax. I'd like to thank everyone for joining today's call to discuss our fourth quarter and full year 2014 financial results. Today's earnings release is currently available on our website at novavax.com, and an audio archive of this conference call will be available on our website later this evening. Joining me on today's call is Novavax's President and CEO, Stan Erck; along with Buck Phillips, our CFO; and Dr. Greg Glenn, our Senior Vice President of Research and Development. Before we begin our prepared remarks, I need to remind you that we will be making forward-looking statements during this teleconference that could include financial, clinical or commercial projections. Statements relating to future financial or business performance, conditions or strategies and other financial and business-related matters, including expectations regarding revenue, operating expenses, cash usage and clinical developments and anticipated milestones are all forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Novavax cautions that these forward-looking statements are subject to numerous assumptions, risks and uncertainties, which change over time. With the front over, I will now turn the call over to Stan Erck, President and CEO. Stan?
Stanley C. Erck: Thanks, John. Good afternoon, everyone. So our accomplishments during the fourth quarter culminated in a productive year for Novavax, as we delivered on all the key clinical and corporate objectives that we outlined at the beginning of the year. With the initiation of several important clinical trials during the second half of 2014, we anticipate announcing top line data from all of our key pipeline programs in 2015, making the upcoming year incredibly exciting for us. As usual, I'll now ask Greg to review our recent clinical and scientific accomplishments. After that, I'll provide detail regarding key anticipated events in 2015. We'll finish the call with a financial overview by Buck and then open the line for questions. With that agenda, let me hand the call over to Greg.
Gregory M. Glenn: Thanks, Stan, and good afternoon, everyone. During 2014, we announced a number of clinical and preclinical accomplishments. Our efforts have built a strong foundation for moving our key programs into later-stage development. As Stan mentioned, 2015 will be a busy and exciting year with several important clinical data readouts. I'll start with a review of our accomplishments and focus first on our comprehensive RSV program. The first major achievement I'd like to highlight is the Phase II clinical trial of our RSV F vaccine in elderly adults that we initiated in the fourth quarter of 2014. This trial is a randomized, observer-blinded, placebo-controlled trial of 1,600 elderly adults over 60 years of age, which is being conducted at 10 U.S. based sites. The trial is designed to evaluate the safety and immunogenicity of 135-microgram dose of the RSV F vaccine compared with placebo and the incidence of all respiratory illnesses due to RSV, including medically attended respiratory illness due to RSV and hospitalizations for respiratory illness due to RSV in community-living elderly adults. The trial will also estimate the efficacy of the RSV F vaccine in reducing the incidence of respiratory illnesses due to RSV. Another major achievement occurred in the third quarter of 2014 when we initiated the Phase II trial of RSV F vaccine in pregnant women as the next step in our maternal immunization program. This trial is a randomized, blinded, placebo-controlled Phase II study enrolling 50 healthy women in their third trimester of pregnancy. The trial evaluates the safety of the vaccine in mothers and their infants. It also studies the transfer of RSV-specific antibodies from mother to infant and assesses the RSV antibody half-life in the infants of immunized mothers. This trial is continuing to enroll, and we expect to provide top line data in the third quarter of this year. In addition, in November 2014, we initiated a Phase I clinical trial of our RSV F vaccine in children. The trial, which is being conducted in Canada, is a randomized, observer-blinded, dose-ranging Phase I study to evaluate the safety and immunogenicity of the RSV F vaccine with or without aluminum phosphate in children aged 2 to 6 years of age, who are seropositives to RSV. In addition to the trial's primary goal of evaluating safety in this population, the trial is also designed to evaluate the immunogenicity as measured by concentrations of serum IgG antibodies to the RSV fusion or F-Protein, the palivizumab competing antibody titers and RSV microneutralizing titers. Importantly, in this Phase I trial, we're evaluating the immunogenicity of the vaccine outside the RSV season and obtaining safety data through the following season. We have found that enrolling children prior to the 2014/'15 RSV season proceeded more slowly than we have expected. It's unlikely that enrollment could be completed before the season, so we've elected to delay any further recruitment in this trial until after the end of the season in 2015 in Canada. Our plan is to restart recruitment later this year prior to the next RSV season and, in doing so, incorporate our learnings about pediatric recruitment to avoid some of the enrollment issues we have faced. With respect to RSV program, I want to note that our clinical and preclinical data sets have continued to grow and garnered significant interest for the medical community. On our last quarter's call, I described in detail our presentations at the 8th International Society of Vaccine Congress and at the 54th Interscience Conference on Antimicrobial Agents and Chemotherapy known as ICAAC. In addition to those conferences, we recently presented a number -- a variety of our clinical and preclinical data at the 9th International RSV Symposium held last November in South Africa. Our topics included immunization of pregnant baboons demonstrated placental transfer of functional anti-RSV antibodies in their infants, along with similar data in rabbit and guinea pig models; presentation of our clinical data from our Phase II trial in healthy women of childbearing age; preclinical studies demonstrating protection against RSV wild-type strain and palivizumab escape mutants; and the relevance of our RSV vaccine immunogenicity, including palivizumab competing antibodies. These presentations are all posted on our website for your review. Last quarter, I noted that RSV is increasingly being recognized in the past year with great importance. Globally, RSV is second only to malaria as a leading cause of death in children under 1 year of age. In the U.S., nearly all children become infected with RSV before they are 2 years of age, and it is the #1 cause of hospitalization of children 0 to 12 months old. It's estimated that as many as 17,000 elderly and high-risk adults die of RSV infection or its complications annually in the U.S. and up to 180,000 hospitalization for serious -- hospitalized for serious respiratory disease. I want to note that in the New England Journal published today, there was a study that enrolled 2,638 children, 89% who all had -- who had radiographically evidence of pneumonia. Their annual incidence of pneumonia was 15 cases per 10,000. Children with the highest rates were younger than 2 years of age and had 62 cases per 10,000. And in this study, RSV was the most common pathogen detected and was with the greatest burden of hospitalization observed among children younger than 2 years of age. So that is in the 26 February New England Journal, today as I mentioned. Our view of the importance of RSV -- of an RSV vaccine has been recently validated also by the FDA who granted RSV vaccine Fast Track Designation for protection of infants by maternal immunization. We believe this reflects the agency's recognition of the importance of this unmet medical need, their support for maternal immunization as an approach to protect the infants from this respiratory pathogen and the potential of our RSV F vaccine. Now moving to our influenza program. Last -- in the fourth quarter, we initiated a Phase II clinical trial of a recombinant quadrivalent seasonal VLP vaccine. As a reminder, this trial has been conducted over the company's contract with BARDA, which was recently extended an additional 24 months through September 2016, and we were awarded with additional $70 million in funding. This Phase II trial is a randomized, observer-blinded, dose-ranging trial designed to evaluate the safety and immunogenicity of our quadrivalent seasonal VLP vaccine in 400 healthy adults. The primary outcomes of the trial will assess safety and tolerability of the seasonal VLP -- influenza VLP vaccine and quantify immune responses to each of the 4 influenza strains based on hemagglutinin inhibition titers. In addition, the secondary outcomes will evaluate neuraminidase inhibition antibody titers for all influenza strains. We believe this vaccine has the potential to provide a differentiated immune response in the presentation of both hemagglutinin and the intact neuraminidase antigen, and that a differentiated immune response has the potential to deliver a more robust protection against infection. Before we're moving on, I want to remind you that during this year, we were also pleased to receive word from the FDA that our pandemic H7N9 VLP vaccine was also granted FDA Fast Track Designation. Similar to RSV, we believe this designation underscores the FDA's recognition of the risk of H7N9 influenza, the lack of approved vaccines and the strength of our vaccine. So lastly, we announced a significant update in our Ebola program. Earlier this month, enrollment began in our Phase I clinical trial of our Ebola vaccine candidate, adjuvant with the Matrix-M in healthy adults. As a reminder, we initiated the development of our Ebola vaccine shortly after the publication of the genetic sequence of 2014 Ebola Makona strain responsible for the current Ebola epidemic in West Africa. The Ebola GP Vaccine clinical trial, which is being conducted in Australia, is a randomized, observer-blinded, dose-ranging Phase I trial to evaluate the safety and immunogenicity of the vaccine with and without Matrix-M adjuvant in 230 healthy adults between 18 to 50 years of age. In addition to the trial's primary goal of evaluating safety in this population, the study will also evaluate immunogenicity as measured by concentrations of serum IgG to the Ebola Makona strain glycoprotein. In less than 5 months, Novavax validated its Ebola vaccine with prevailing animal data, including 100% protection against the lethal Ebola challenge in nonhuman primates. In this study, nonhuman primates received 2 injections of a 5-microgram dose of the Ebola GP vaccine with Matrix-M, and they were challenged with a lethal dose of the Ebola virus. Predictably, the challenge is lethal for the control animal, while 100% of the immunized animals were protected. The rapid progression to a Phase I clinical trial was further supported by Novavax GMP process, which is detailed in the February online publication of the BioProcessing Journal. So with that summary, I'll now turn the call back to Stan.
Stanley C. Erck: Thanks, Greg. Based on Greg's comments, I'm sure that you can appreciate how much we've accomplished in 2014 and how that momentum is continuing into 2015. At the risk of repeating some of what Greg mentioned, let me recap both where we are and update you on guidance of our expected progress in 2015. First, after initiating and completing our H7N9 pandemic flu trial last year with very positive results in the last months of 2014 and into February of this year, we've started 3 new Phase II clinical trials and 2 new Phase I clinical trials. We will use data from 3 of these trials, specifically the quadrivalent flu trial, the elderly RSV trial and the maternal RSV trial to help us design our pathway forward into Phase III trials, which are all targeted to start as early as the fourth quarter of this year or later in 2016. With Ebola, the pathway forward there will depend on both the progression of the epidemic and the opportunities for financial backing. Data from the Phase I RSV pediatric trial will help us determine what will be required for a Phase II trial and the timing thereof relative to the more advanced elderly and maternal trials. So let me update you on the timing of the data from these trials. We continue to expect data from the quadrivalent flu trial by the end of the second quarter. Our 1,600 elderly adult RSV trial remains on target to report on preliminary results in the third quarter. Our Phase II maternal immunization trial is also expected to report preliminary results in the third quarter. And as Greg mentioned, the Phase I pediatric trial is taking longer than originally planned, and while we still continue to target data in 2015, that could slip into 2016. And finally, from the startup of our Ebola program in September to the initiation of our Phase I trial this month, we expect data in mid-2015. We've grown the company to over 300 very talented employees. This group now has the critical mass and capabilities to help us achieve our aggressive development goals in 2015. We continue to broaden our exposure in the RSV, flu and emerging virus communities, and I believe now command a great deal of respect for the breakthroughs we've made in all of these fields of vaccination. We see this recognition from academic, governmental and nongovernmental key opinion leaders as well as from our industrial colleagues. So with that, I'll turn the call over to Buck to review our fourth quarter 2014 financial results.
Barclay A. Phillips: Thank you, Stan. Today, we announced results for both the 2014 fourth quarter and full year. The summary of financial statements can be found in today's press release. For the fourth quarter of 2014, we recorded a net loss of $31.5 million or $0.13 per share. This compares to a net loss of $14.1 million or $0.07 per share for the prior year period. The increase in net loss for the fourth quarter is primarily the result of increased R&D expenses related to our successful RSV F vaccine program and the initiation of 3 RSV clinical trials in the third and fourth quarter of 2014. I will discuss those expenses in greater detail in the R&D section of my comments today. Revenue for the quarter was -- net loss for the year, excuse me, everyone. Net loss for the year of 2014 was $82.9 million or $0.37 per share. This compares to a net loss of $52 million or $0.31 per share for the period -- for the prior year period. The increase in net loss was primarily due to higher R&D expenses, specifically related to the initiation of the 3 clinical trials of our RSV vaccine, as well as higher employee-related expenses and the full year impact of our Novavax AB acquisition. The revenue for the quarter was $6.7 million compared to $8.7 million for the same period in 2013. The 23% decrease in fourth quarter 2014 relative to the same period in '13 is primarily related to revenues recognized under our past agreement for the fourth quarter of 2013 related to the initiation of the Phase II RSV trial in women of childbearing age. Revenue for the year ended 2014 increased 47% to $30.7 million compared to $20.9 million in 2013. The increase in full year revenue results from the 2014 Phase I/II clinical trial of our H7N9 pandemic vaccine candidate and activities related to the preparation and initiation of the Phase II clinical trial of our quadrivalent seasonal influenza vaccine. Both programs are funded under our contract with BARDA. For the fourth quarter of 2014, cost of government contracts revenue increased 9% to $2.8 million compared to $2.6 million in the same period of 2013. This increase is primarily due to activities related to the preparation and initiation of the Phase II clinical trial of our quadrivalent seasonal influenza vaccine in the fourth quarter. For the full year of 2014, cost of government contracts revenue increased 82% to $15 million compared to $8.2 million in 2013. The increase in costs for the full year of 2014 were associated with the 2014 Phase I/II clinical trial of the H7N9 pandemic influenza vaccine and, again, the activities related to the preparation and initiation of the Phase II clinical trial of the seasonal influenza vaccine. R&D expenses increased 87% to $30.5 million in the quarter compared to $16.3 million in the same period of 2013. For those of you who have followed our progress throughout the year and our promise to initiate 3 RSV clinical trials in the second half of 2014, you'll recognize that the primary reason for this increase in R&D expenses is due to the preparation and initiation of the pediatric RSV vaccine trial and the elderly RSV vaccine clinical trial in the fourth quarter of 2014, as well as the ongoing costs related to the maternal immunization RSV trial, which was initiated in the third quarter of 2014. As stated early in my comments, the increase in RSV critical trial expense was the main driver to the increase in net loss in the fourth quarter of 2014. I should note that the bolus of these clinical trial expenses typically occur in the weeks leading up to the initiation of enrollment and during the enrollment period. Therefore, we expect their expenses related to these clinical trials to decrease dramatically in the ensuing quarters. G&A expenses increased 24% to $5.1 million in the quarter compared to $4.1 million in the same period in 2013. This increase is primarily due to an increase in employee-related expenses tied to the continued growth of the business here in Novavax. For the full year, G&A expenses increased 34% to $19.9 million compared to $14.8 million in 2013. Again, the increase in the G&A expenses for the year is the result of these increased employee-related costs tied to the growth of the business. As of December 31, 2014, the company had $168.1 million in cash, cash equivalents and investments on the balance sheet. With this, I'll conclude my review of the financial statements and turn the call back over to Stan.
Stanley C. Erck: All right. Thanks to all of you for participating today. I look forward to talking to you all in the next quarter. We will now open it up to Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Edward Tenthoff from Piper Jaffray.
Edward A. Tenthoff - Piper Jaffray Companies, Research Division: Well, firstly, I just have to say congrats on another great progress, and it's great to see getting reflected in the stock price, too. Really exciting time for the company. First, I just -- I -- my hearing is going with my increase in age, so I wanted to make sure I heard something correctly. Did you say that the Phase III for seasonal flu could start as early as the fourth quarter of this year?
Stanley C. Erck: So this is Stan. So we have 3 Phase II clinical trials. All will give us data that will help us design Phase IIIs for those programs that is: quadrivalent flu, elderly flu, maternal flu -- I'm sorry, elderly RSV and maternal RSV. Our expectation is the first trial to start a Phase III is likely to be the elderly. That could be by the end of this year. Flu, as we've been saying for quite some time, it's -- we have to go through in addition to the end of Phase II -- in getting the Phase II data, we have to go through an end of Phase II data with the FDA. We have an additional step of going through an in-process review with BARDA, and that will give us the input to design a Phase III to start in 2016. The maternal program Phase III will be somewhere around either the end of this year or beginning of next year, and that's to be determined.
Edward A. Tenthoff - Piper Jaffray Companies, Research Division: Great, that's really helpful. And then if I may, just kind of digging into the sort of go, no-go on the RSV study. What do you guys kind of have as a threshold here? What do you need to see where this would make sense to proceed in maternal and/or the elderly? Do you have a specific immunogenicity levels that you think you need to achieve? Is there a time duration, for example, in the cord blood? Or how long do you think you need to see protection in the infants?
Gregory M. Glenn: Thanks. Those are good questions. This is Greg here. So I think we'll see -- maternal immunization, we're looking for 3 factors here. First of all, this is a trial we're learning to execute, and I think recruitment there is very important and I'm very confident what we're doing will deliver on our milestones. Then presuming that we will look at the transfer of cord blood and, generally speaking, the antibody level found in the mother and the infant in that setting has shown concentration. Now as you know, in our Phase II trials of women of childbearing age, we have shown antibody titers as measured by palivizumab competing antibodies that would be what we would consider tenfold greater than what would be the protected level. So we're looking to see that kind of level show up in the infant, and so it's our expectation that it will, at least, be similar -- quite similar to what you see in the mother. Now a very, I'd say, positive additional win on that would be to see relative concentration, which you do see with some vaccines, for example, tetanus. So I think that's the kind of data we're looking for, and we will be able to make an estimate of the half-life of the antibodies in an infant. And again, this is a relatively small sample size, but we're looking for -- as we go forward, we're looking the 2 in our primary endpoints prevent severe RSV infection in the infants at least to 3 months. So we're looking for a significant level of antibody that would exceed what we think is a protective level in the general population, at least out to 3 months. And again, a very big win would be to see that level of antibody extend beyond 3 months of age. So I think those are how we'll look at the data for maternal immunization. So I think there, the biological risk of the immune response being protected is -- or biological chance the immune response will be protected is quite high because we've been able to bridge so well to the site II palivizumab/Synagis data that exists in the randomized clinical trial. So that's how we look at maternal immunization. With the elderly, there, we are in the Phase II trial, 1,600 subjects. And in this trial, we're doing something very important. We're going to define the disease burden. We have 10 sites across different geographic areas in the United States where we're going to assess using PCR and, I think, very close follow-up, the type of respiratory symptoms you see associated with RSV. If you look at the literature, the attack rate in this population is a fairly wide range based on the study design, in my opinion. Here, we have a prospective surveillance, so that typically gets you a better attack rate. But if you look at the literature, somewhere between 2% and 5% of all the 60-plus elderly have a significant RSV infection. So that's our -- that's going to be important. If we can define an attack rate and it's within that range, I think that makes us confident, and there's -- the RSV trial would be feasible. So we're looking to reproduce the attack rate in the -- in that population and that kind of range. As far as the vaccine effect, I think we have a little less to say. I think if you look at influenza, those vaccines range between 50% to 70%, roughly, in terms of protective efficacy. And so that would be, I think, a very satisfactory range, and our study is designed to detect somewhere between 60% to 80% of protective efficacy with our vaccine. So those are very rough parameters. That is the secondary or exploratory endpoint. As you know, we would use that then to power a study to show the vaccine effect in a Phase II trial. So that's sort of general guidance, I think, on what we're looking for in this Phase II trial.
Operator: Our next question comes from the line of Kevin DeGeeter from Ladenburg.
Kevin DeGeeter - Ladenburg Thalmann & Co. Inc., Research Division: Could you just give us an update on your current thinking on the pentavalent program, combining -- potentially combining RSV and quadrivalent influenza?
Stanley C. Erck: Yes. Kevin, this is Stan. We're -- we think it's as important as we did with the last time we talked to you. We don't have it on the schedule officially yet. We're trying to get it in this year. It's -- we're -- we have the 5 different strains available to go in and then have bandwidth to do it. I'm hoping that we get it started in the second half of this year, but we don't have it officially plugged [ph] up.
Kevin DeGeeter - Ladenburg Thalmann & Co. Inc., Research Division: Great. That's helpful. And could you maybe provide or share an updated thinking on business development? Obviously, a very busy year on the clinical side. Just what makes sense in terms of PD? And is that a high priority here, just given the volume of clinical development over the next 12 months?
Stanley C. Erck: Yes. Again, we just have a potful of data coming out in the third quarter, fourth quarter of this year, and those data are going to give us a really good look at how we're going to try to design and execute Phase III clinical trials toward licensure, but it will also give us an idea of -- we'll start thinking about how we want to develop global sales and marketing plans and how we develop partners for those programs. And I think, as you know, we hired -- last year, we hired a Senior Vice President for Commercial Operations. We've now hired a couple other senior people, and we're starting the process of planning our way into these markets. And so I think data dependent, second half of this year, we'll design our PD strategy as well.
Kevin DeGeeter - Ladenburg Thalmann & Co. Inc., Research Division: And then maybe just one more, if I could sneak this in. I get a fair number of questions up from clients trying to appreciate some of the work that's being done on potential pre-fusion vaccine approaches versus the Novavax post-fusion approach. Greg, could you just kind of give us your thoughts as to your just sort of -- or what's sort of understood in terms of some of these alternative approaches and just kind of more, generally, how you think about the competitive landscape out there?
Gregory M. Glenn: Okay. So let's dive a little technical for a minute. So the -- some of this work has come from defining the crystal structure for the RSV F-protein. Now when that's done, you have to solubilize it and make changes. So the changes were made such that you truncate the protein, and so you don't have the portion that sticks into the membrane. So lots of that to say that, that I think the crystal structural work is extremely exciting. It's very interesting. There is conclusions about the structure that I think many people accept that, that would be -- that would represent a form that would be in the pre-fusion or the form that you would find before the fusion process occurs. So that's been extended then to try to replicate that in vaccines on the assumption that it may provide a type of construct that would work. I think where I have some critiques of that approach is that the -- I think the general consensus of the self antibodies you see to the F-protein in the general population will be considered pre-fusion for the most part, and I would just point out that natural immunity is not highly effective. And so you have these, of course, infants who were born with very high levels of antibodies from mothers, and yet they continue to have RSV infection. Healthy adults have RSV infection and the elderly, despite the fact the presence of these pre-fusion-type antibodies. So I believe if you take that vaccine and push the antibodies high enough, they could be protected. So in our case, we don't make real claims about the pre- or post-fusion nature of our vaccine. I would say we have a full-length nanoparticle trimeric F vaccine. It displays the palivizumab epitope in a very efficient manner, and as you know, we get the Synagis-like antibodies at a very robust level. To me, that is the most critical feature to consider. We also know from the work done on palivizumab or Synagis about the mechanism by which it blocks RSV infection. So I think we have a mechanism of action. If you induce these type of antibodies that you should consider that work. Our preclinical data supports that it's very protective, and then you look at our clinical data and we have robust antibodies to this that result in functional immune response. So I think that is a very interesting debate. I think some of the bets have been made now, and we have what I would consider a modified near full-length RSV F-protein, and I don't think we can make any claims about the nature, whether it's pre- or post-fusion, our vaccine does induce these site II antibodies. I think that is really an absolutely novel story for a new vaccine like this to have 5 randomized clinical trials where that type of vaccine was evaluated. The levels are known. It's extremely compelling story to follow, and we felt that, that is the most clinically relevant information to follow. So I know that was kind of a deep dive a bit for this call, but hope I answered your question.
Operator: Our next comes from the line of Heather Behanna from Wedbush.
Unknown Analyst: This is Allison [ph] in for Heather. I was hoping you could give us an update on the next steps for the pandemic flu program and then maybe some ideas on the timing of Ebola -- the Ebola funding that might come? Does that have to wait until after the data midyear?
Stanley C. Erck: Yes, so this is Stan again. So pandemic, we have on the schedule a pandemic trial to start in the -- right around the beginning of the fourth quarter of this year. That would be a trial that would include healthy adults and elderly, leading to what we presume would be a Phase III clinical trial. We don't have a time table for that. It's probably sometime around mid next year, but that's the steps toward Phase III and licensure. With respect to -- and as you know, the pandemic's going to be licensed based upon an immune response rather than efficacy. So it's a simple immunogenicity trial. And with Ebola, so we got into the clinic. So what we're doing right now is we are collaborating with NIH with our vaccine they're using in advanced nonhuman primate studies. There's a lot of interest in this vaccine. It solves a lot of the potential problems of the other vector-based vaccines that are there and so people are really interested in. We are -- we started a Phase I trial. We did this, and the timing of this was so fast because we decided to do it without seeking government support first because we thought timing was a real important aspect to this. So we started the Phase I trial, I think, 2 weeks ago now. It's -- step-wise, you do a low dose and then you wait for safety evaluation, and then you step it up in a higher dose. I think data from the trial will be in the, what we advertised, midyear, I guess, but it'll probably early third quarter. And during that time, we're not going to sit on our hands. We're talking with all of the interested parties, which include people like BARDA, people like NIH. The military are involved. The nongovernmental agency, such as Gates and others, Gobi [ph], who have expressed interest. At least, Gobi [ph] who have expressed interest in funding, the purchase of Ebola vaccines. We're talking to them all and plus our pharmaceutical colleagues as well. So we're going to try to figure out what to do as a next step to get this into a larger trial, so that it can get licensed. Probably now under what's known as the animal rule, where you do 2 species of animals efficacy and then you do a large -- larger safety trial in humans. The goal is to get -- there are 4 customers, I think, for this Ebola vaccine. One, of course, are the citizens in West Africa. This -- with this outbreak, it's not like it has been over the last 40 or 50 years. This has a threat of becoming endemic with 27-some-odd-thousand people having been exposed so far. I think there's going to be a call to have a vaccine that can be distributed widely among the population. There is clearly a vaccine that's required for first responders as well and, not just in West Africa, but as we saw in the U.S. and Europe. And there are plenty of people who would like to have gotten vaccinated before dealing with the actual victims. And then there's the U.S. military and other military that have sent thousands of troops down to Africa. There's a call for a military purchase. And then finally, there's a real need to have a stockpile purchase of Ebola vaccine for future outbreaks, and we have reason to believe that our vaccine can -- is going to be effective against a wide, broad range of strains of Ebola, and so it could be useful as a potent stockpile vaccine.
Operator: Our next question comes from the line of David Lebowitz from Janney Montgomery
David N. Lebowitz - Janney Montgomery Scott LLC, Research Division: I have a question on the Phase III program for the seasonal influenza. Given that the vaccine represents a kind of a unique vaccine versus what is currently out there and what's been historically submitted, are there any unique aspects to this Phase III program and the ultimate submission afterwards that might need to be different because it's a newer type of vaccine?
Stanley C. Erck: No, but I like your question because I do think our vaccine has advantages over the current vaccines out there, and I'm happy to be able to tell anybody who's willing to listen about them. But we have a nanoparticle. We have a virus-like-particle vaccine that is -- should have high immune response to the standard hemagglutinin antigen. We have a vaccine that we think might have immunogenic sites that are more conserved across a broader range of strains, that's possible, that we would like to show on a Phase III. And third, and maybe very important, is we have neuraminidase. We have active neuraminidase that -- and we've shown high levels of neuraminidase antibodies when we vaccinate animals and people. To demonstrate the effect of all 3 of those, we need to do an efficacy trial and as opposed to just an immunogenicity trial, and so we look forward to conducting an efficacy trial to show the benefit -- the combined benefit of all these aspects of our vaccine so...
David N. Lebowitz - Janney Montgomery Scott LLC, Research Division: And with the ultimate submissions, how broad an array of different types of viral strains would ultimately need to be encompassed in a submission?
Stanley C. Erck: Well, it would just be a standard -- our standard quadrivalent vaccine, whatever the strains are recommended for next year I suppose, and -- but with -- and -- but you never can predict, just like this year, you can't predict what the circulating strains are all going to be. And so we'll have the potential, the ability to show that it works on strains that may not be contained in the vaccine itself.
Operator: [Operator Instructions] Our next question comes from the line of George Zavoico.
George B. Zavoico - MLV & Co LLC, Research Division: I just had a quick follow-on from previous question regarding the Ebola. You said it could be effective in many different strains of Ebola. Have you tested it in other strains beside the guinea strain? I'm not sure if I heard you discuss that before or not.
Gregory M. Glenn: Greg, here. As you probably know, since people have been working on Ebola vaccine for quite a while, most of the assays and the challenge models are done with previous strains. So for example, the mouse challenge data where we showed 100% protection was done with Mayinga strain, which is from 1976, and the macaques strain was done with Kikwit, which was a 1996 strain. So just by definition in our challenge studies, we are showing cross-protection. Also that's true of the way the neutralization is assessed because, again, those assays and challenges have been historic and getting the assays up-to-date have been challenging for investigators. So our collaborators have to say [indiscernible] are just beginning to have the neutralization assay for the current strain available. And by the way, it's circulating in Guinea, but they've renamed the sequence of the strain word to Makona. So our 2014 Makona vaccine represents the circulating sequence currently in Africa. Maybe I'd just add a little bit. I would have -- you would expect with Matrix-M that you get some additional presentation of conserved antigens, and I think what we see with this relative cross-protection would be at least in part explainable by the very, very robust response we see to the protein in the Matrix-M. And you probably noticed, but we posted some of that data with a WHO presentation. But you can see we have very, very high immune responses, and I think that would explain -- they're also high affinity. If you see in that table there, we did a competitive ELISA. We measured the affinity. These antibodies are very, very high affinity antibodies. So typically, that also should add to cross-protection.
George B. Zavoico - MLV & Co LLC, Research Division: Now the customers for the Ebola strain -- I'm sorry, for the Ebola vaccine, you mentioned the 4 main customers. That's all government, and so what -- and it's probably too early to predict or to project what the costs may be, but the intent would be to -- for broad application through government purchasing, would it be like cost plus? Or is it just early to talk about it?
Stanley C. Erck: Well, I think it's a little early to talk about it. We don't rule out doing this with a pharmaceutical partner as well, so someone who might have more weight in getting distribution where the vaccine needs to be done. So we're open to a lot of things. We think we have a unique vaccine right now, and we've worked hard to get data to back up that statement. But it's hard to say what the nature -- the kind and nature of the contract might be different for different customers as well with different uses.
George B. Zavoico - MLV & Co LLC, Research Division: Okay. Switching over to the RSV and the flu. You mentioned you want to start one of these trials in the fourth quarter of this year. At least, in the northern hemisphere, the flu season actually starts maybe in September, just before the fourth quarter starts. Are you constrained? Or are you going move part of the trial to the southern hemisphere? How -- and then with regard -- the same thing with the RSV and the maternal immunization, do you immunize the women in the third trimester with the birth expected during the RSV seasons? Do you have to time the trials to match the seasons, in other words?
Stanley C. Erck: I'll let Greg do that.
Gregory M. Glenn: Yes, so we're aware of that. It's possible we may use the southern hemisphere trial for combo, as you described. And in maternal, we do want to immunize women in the season, so the women that -- so throughout the season, so infants are born and exposed, so which is that be real life. So the trial is designed to have births going on during RSV season at various time points.
Stanley C. Erck: Okay. And George, it's Stan. So the trial that we have, the most confidence that we can target the fourth quarter on to see elderly RSV vaccine, but a lot of stars have to line up. We have to get data. We have to get a timely end of Phase II meeting with the FDA. We have to get product available by the time and get a response from the FDA at that time, and then vaccinate them just before the RSV season, and we think we can do that. It's possible to do that in the fourth quarter in the northern hemisphere. If we don't, then you'd be looking for us to try southern hemisphere. So that's the advantage of our hemispheric epidemics, and so we have more flexibility to go north or south.
George B. Zavoico - MLV & Co LLC, Research Division: And just a quick question, the flu and RSV seasons, do they overlap? Or do they -- is RSV a little bit later than the flu in when it starts?
Gregory M. Glenn: You're right. RSV is typically a little bit later.
Stanley C. Erck: Did you hear that? RSV is a little bit later.
Gregory M. Glenn: They overlap, but RSV is a little bit later.
George B. Zavoico - MLV & Co LLC, Research Division: Okay. And finally, you didn't mention this at all in your prepared remarks, because of all the focus and attention to the RSV and flu, but you have a terrific collaboration going with Cadila in India on rabies and everything. If you could just give me a -- give us a brief update on where that stands and the potential milestones and timelines in 2015 for that might be?
Stanley C. Erck: Yes, great question. You're right. We have a lot to talk about, and I think you'll hear more about our progress in India with the CPLB, Cadila Pharmaceuticals Ltd. Biologicals, joint venture that we have. They've been making a lot of progress both on developing a seasonal flu vaccine, and the rabies vaccine has been in the clinic. Both are in the clinic now. We'll report on data from both of those and give you some timelines. Certainly, during 2015, we'll give you timelines on when we think we can have either Phase III clinical trial data or approvals. And so be patient on that one, but it's going quite well.
Operator: This concludes our Q&A portion of the call. I would now like to turn the call back over to CEO, Stan Erck, for closing remarks.
Stanley C. Erck: Yes, so whoever's still on the line, thank you very much for calling in. We've had -- for the last year, we've been talking about -- we've been making projections about doing all the things necessary through process development and manufacturing and QA and QC and regulatory and clinical to get new trials started. I think we projected to get 4 started by the end of the year, and we actually got 4 plus a little surprise, which is Ebola, a couple of weeks ago. So we've executed on our promises, and what I'm really looking forward to is seeing the data. This is going to be a full data year, and it's really going to give us some subsequent data to tell us how we're going to get into Phase IIIs and give us more visibility into our product marketing timeline. So thank you. That's it.